Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Good day, and thank you for standing by. Welcome to the Q4 twenty twenty one Investor Teleconference for Oil-Dri Corporation of America. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] 00:30 I would now like to hand the conference over to your speaker today, Mr. Dan Jaffee, President and CEO. Thank you. Please go ahead.
Dan Jaffee: 00:38 Thank you, Kevin. Welcome everyone to our fourth quarter and fiscal year ending teleconference as we completed our eighty first fiscal year in business, very exciting. Joining me on the call today is Susan Kreh, CFO; Molly VandenHeuvel, COO; Jessica Moskowitz, VP and General Manager of our Consumer Products Division; Fred Kao, Vice President of Global Sales for Amlan International; Laura Scheland, Vice President and General Counsel; and Leslie Garber, Manager of Investor Relations. Leslie, will you walk us through our Safe Harbor.
Leslie Garber: 01:10 Yes. Thank you. Welcome everyone. On today’s call, comments may contain forward-looking statements regarding the company’s performance in future periods. Actual results in those periods may materially differ. In our press release and in our SEC filings, we highlight a number of important risk factors, trends and uncertainties that may affect our future performance. We ask that you review and consider those factors in evaluating the company's comments and in evaluating any investment in Oil-Dri stock. Thank you for joining us. Dan?
Dan Jaffee: 01:42 Great. Thank you. Before I turn it over to Susan, for what I call a play-by-play, I'll give a little color on the year and I'll try not to steal too much of her thunder, but obviously, very happy with the top line growth. Overall, eight percent growth, all organic, no acquisitions during the year and then twenty percent in the fourth quarters. So you can imagine what that did, especially whatever everyone knows about global supply chains, what a great job our team did of getting all that out. 02:11 However, costs, we're in a whole new cost environment. I mean, whatever we thought we were seeing, it's way worse. And so, we were in a constant game of catch up and we just put out a news release this week about it. So, we're still playing catch up. But the good news is the strategies are working. The supply chains – it’s, my father used to always joke at, when people would ask him, how's your wife? And he would say, compared to who? And so, how is our supply chain, compared to who? 02:30 I mean, when you go to the shelf, certainly in the consumer area, you see out of stocks everywhere. And generally, you see competition more out of stock than we are, which is why I think we were up so much in the fourth quarter. So, it is tough, our challenging times, heads are down, trying to execute on price increases and cost control as we are also in the midst of really some very exciting growth opportunities in many of our businesses. So it's very challenging times, but very proud of the team. They've done a phenomenal job. We've certainly stressed one of our core values which is the W, which is work life balance. 03:24 We've definitely been leaning too much towards work and not enough towards life, these last ninety to one hundred and twenty days, but the team has stepped up and I'm very appreciative of what they've done. 03:33 So, Susan, I'm going to turn it over to you for some details, and then you can kick it back to me for Q&A.
Susan Kreh: 03:41 Sounds good. Thanks, Dan. Twenty twenty one was a year of momentum, of challenges and of opportunities. We experienced momentum, as Dan was just describing, in our sales growth as full year consolidated net sales reached an all-time record high of three hundred and five million dollars or eight percent growth over the prior year. This is primarily due to higher demand of our cat litter and agricultural products, which increased by nine percent and nineteen percent respectively over the prior year. 04:17 Revenues from our Fluids Purification products were three percent higher than last year, while sales of Animal Health & Nutrition products were essentially flat. Industrial and Sports products revenues grew nine percent year-over-year, and we experienced steady sales growth of two percent from our co-packaging coarse cat litter business. 04:37 Annual consolidated gross profit was a different story, as Dan mentioned, and it decreased by three point five million dollar year-over-year, as we experienced that the significant challenges of market based inflation. Commodity-based cost increases caused our cost of goods sold per manufactured ton, a key financial metric for Oil-Dri to increase approximately eight percent compared to the prior year with a very significant portion of those cost increases occurring in the back half of the year. 05:10 Packaging costs, which include resin-based jugs and pails as well as pallets, experienced the most dramatic increase at nineteen percent year-over-year, followed by natural gas, which increased fifteen percent year-over-year. Domestic freight which has been under pressure due both to rates and availability increased thirteen percent. These increases were only partially offset by operating cost reductions and efficiencies that Molly and the entire supply chain team worked hard to achieve during fiscal twenty twenty one. 05:48 Selling, general and administrative expenses for the year decreased eight percent from the prior year, primarily due to lower advertising spending, a lower annual incentive bonus accrual and lower pension expense. As for opportunities, we increased our investment in SG&A in our Animal Health & Nutrition products business by one million dollar year-over-year. And we are excited about the new customers and the activity with those customers that this enhanced team has been able to generate. 06:23 While we were disappointed with our ability to maintain our margins during the rising cost environment that we experienced in fiscal twenty twenty one, I would like to point out that our prior year fiscal twenty twenty results included a one-time pretax gain of thirteen million dollar related to a confidential licensing agreement. Excluding that prior year one-time gain, our operating income of thirteen million dollars in fiscal twenty twenty one equates to ten percent growth over the prior year. 06:58 Full year net income for fiscal twenty twenty one attributed to Oil-Dri was eleven point one million dollars. Net income per diluted common share was one point fifty seven dollar. That compares to two point six five dollars per diluted common share in the prior year, but that amount included the thirteen million dollars pretax one-time gain I mentioned earlier. Excluding the impact of that one-time gain, which equated to one and two six dollars per share. 07:27 Last year's net income per diluted common share would have been one point three nine dollar meaning that this year's result was thirteen percent higher than fiscal twenty twenty excluding the one-time gain. 07:41 Now switching gears to some fourth quarter highlights. Dan mentioned, our fourth quarter consolidated net sales grew twenty percent and reached an all-time quarterly high of seventy eight million dollars. Sales from our cat litter, industrial and sports, and agricultural businesses drove the majority of this growth. Demand for Fluids Purification products and co-packaging Coarse Cat Litter also increased in the fourth quarter compared to the prior year, while revenues from our Animal Health & Nutrition products were essentially flat. 08:18 As a result of commodity prices that continued to rise rapidly during the fourth quarter, our consolidated gross profit decreased by approximately one point five million dollars, even after the price increases that we implemented during the quarter. Due to extreme inflation on resin and lumber prices, our packaging costs per manufactured ton increased forty percent in the quarter compared to the same quarter in the prior year. 08:47 Further attributing to the reduction in margin with higher natural gas per manufactured ton, which increased sixty seven percent in the fourth quarter over the same quarter in the prior year. The macroeconomic environment remains challenging and we are working with our customers to implement additional price increases to help cover these rapidly increasing input costs. 09:12 Now let me talk a little bit about our product groups. The Business to Business Products Group fourth quarter revenues reached a record thirty million dollars, a thirteen percent increase over the same quarter in the prior year. That was primarily driven by strong revenue growth from Agricultural and Fluid Purification businesses. 09:34 Sales of agricultural products increased by thirty seven percent over the prior year. The demand from one of our largest customers rose in the quarter. The B2B Products Group also benefited from a seven percent increase in revenues within the Fluids Purification business, where sales of bleaching clay products were strong in North America and Latin America. 09:58 Our co-packaging Coarse Cat Litter products experienced increased sales of sixteen percent in the fourth quarter compared to the prior year, primarily due to increased pricing. And while fourth quarter revenues of Animal Health & Nutrition products remained flat compared to the same period last year, we were encouraged by strong year-over-year sales growth of sixty six percent in the quarter in China. 10:26 Operating income for the B2B Products Group was three point eight million dollars in the fourth quarter compared to six point three in the fourth quarter of fiscal twenty twenty. As the favorable impact of strong revenue growth was more than offset as a rapidly rising input cost we've been discussing. 10:45 The Retail and Wholesale Products Group’s fourth quarter revenues were forty eight million dollars, a twenty six percent increase over the same quarter in the prior year, driven by our branded and private label cat litter products. We continued the benefit from our strategic focus on lightweight litter, where sales were up forty three percent in the fourth quarter over the prior year. And our e-commerce business also experienced double-digit revenue gains for the fourth quarter. 11:15 Our financial position remains strong as is reflected in our balance sheet. We ended the year with cash and cash equivalents of twenty five million dollars and we carry very little debt equating to a debt to total capital ratio of about five percent. One of the primary uses of our cash is to fund our trade working capital. During fiscal twenty twenty one, our accounts receivable increased six million dollars reflecting our strong sales growth. The decrease in our current liabilities of four million dollars for the fiscal year was primarily driven by a reduction in the annual incentive bonus. 11:52 We also use our cash to fund capital investments in our business, including those required for growth and those required to drive cost reductions, in addition to normal repair and replacement capital. At times, we use cash to opportunistically repurchase stock to help offset dilution as shares of our restricted stock vests. And for fiscal twenty twenty one, we repurchased approximately eighty eight thousand shares of our common stock for three point one million dollars. 12:23 I opened by saying that twenty twenty one was a year of momentum, of challenges and of opportunities. And we have momentum in sales growth across many of our product groups. We are experiencing significant inflationary challenges that require us to increase our pricing to our customers, and we are capitalizing on our strategic opportunities in our lightweight cat litter products and positioning ourselves for future growth in our Animal Health & Nutrition products. Oil-Dri remains at a strong financial position with low leverage and we are well positioned to fund our future strategic growth opportunities. 13:01 So with that Dan, I'll turn it back over to you.
Dan Jaffee: 13:05 All right. Thank you, Susan. And Kevin, at this time, we'd like to open up the lines and as you mentioned, and as always, ask your most important question first, and then go back into the queue so that everybody has a chance to ask at least one question.
Operator: 13:22 Thank you. [Operator Instructions] Our first question comes from the line of Ethan Star, a Private Investor. Ethan, you may ask your question.
Ethan Star: 14:02 Good morning. What progress are you making in marketing and selling Varium and NeoPrime? What feedback are you getting from the trials? And when do you think we might see increased sales of these products?
Dan Jaffee: 14:12 Well, I think I mentioned in the -- was in the fourth or the third quarter that we're -- third quarter that we're hoping for some activity in the second quarter, which is coming up. So, I'll stick with that for now. As you know, I'm not going to get into too many details, but it's still very positive, but I will tell you, that we're in such a dynamic cost environment that, yes, we are still doing a lot of things for the future. But our heads are down, just trying to execute, trying to get product out the door, trying to get trucks to show up, trying to get pallets to put our products on top of, trying to get all the additives that we need. Everything is under just unbelievable pressure, and I'm sure you're seeing it in all the articles you read. So, I will say still long-term very bullish on Animal Health. We did hire a couple of more people to help fill out the team during the quarter. So it continues to validate that they're seeing what -- those who joined us before them saw that we really do have one of the best solutions. 15:13 I don't know, if you saw in the most recent month or two, but the EU now has mandated that all imported meat be antibiotic-free and therefore, that causes repercussions throughout their supply chain. There are major importer from Brazil. And so then that ripples into Brazil. So, anyway, all good news further down the call, but I don't want to get into too many details because it's just not productive. But it's all happening and it's all good.
Ethan Star: 15:47 I’ll get back in the queue. Thank you.
Dan Jaffee: 15:48 Thank you, Ethan.
Operator: 15:53 The next question comes from the line of Robert Smith of the Center. Robert, you may ask your question.
Robert Smith: 16:03 Yes. Good morning, everyone. Dan, you know that I've been investing member of the Oil-Dri family for a long time, now more than twenty five years. So I just want to share with you that in the greater part of the last decade, we've been missing an action so to speak from the, one of the greatest bull markets in history. And in part, I feel that's because we're missing in action from Investor Relations and sharing the story with the investment community. You're a small cap stock. There are numerous ways that means of getting your story out. You have a transformative story to tell about animal health and the future of the company. A great story, but you've got to tell it. And I hope that you'll give much greater consideration for doing that?
Dan Jaffee: 17:10 Well, Bob, you and I can debate this all you want, and it's just going to make me look worse. But the facts of the facts, I mean we're trading at sixteen point five times earnings. What do you think our multiple should be? If I been out in The Street hawking the stock, where do you – you think we should trade at twenty? We are not a growth stock, I mean, we hope to be, but we're a value stock. We pay a good dividend, high yield. So what do you think our multiples should be?
Robert Smith: 17:36 The multiple is not that important. It's the future earning power of the company and the transformative business. So what I’m…
Dan Jaffee: 17:43 Yes, but the multiples reflective of that.
Robert Smith: 17:42 I’m suggesting to you that, if The Street knew about your animal health potential the stock would be close to the sixties than thirty five.
Dan Jaffee: 17:53 All right. But I mean given what they can see, I hear you, but we're going to keep agreeing to disagree. And for better or for worse Ned Jannotta, who took us public back in nineteen seventy one and served on our Board for years and has revered in the investment world, the managing partner of William Blair. Absolutely, hammered to me, he said, between hawking your stock and getting expectations out in front of your performance, all you're going to end up doing is disappointing somebody. Put your head down and run the business, and they will find you. 18:22 And I think our multiple is very relevant. I think we are well priced. When we start to deliver on animal health, it will move, but to get it going in front of that performance, to me, I don't see the value of that. So don’t…
Robert Smith: 18:40 Dan, the stock market -- the stock market is a discounting mechanism. No one is buying a stock on present day’s value. They want to see the future. You've got a story to tell about your future, tell it?
Dan Jaffee: 18:52 Well, then I'm going to ask you again, what do you think our multiple should be? If it were at six or eight, I'd be agreeing with you, it's at sixteen point five.
Robert Smith: 19:06 The multiple – average multiple market in the mid-twenties now. So what I'm suggesting is…
Dan Jaffee: 19:10 For small caps?
Robert Smith: 19:13 If you told the story this stock would be closer to sixty dollars than thirty five. That's my story.
Dan Jaffee: 19:19 All right. Did you have a question or took the cap?
Robert Smith: 19:26 Well, I do have a question. Thanks for asking me. So my question is, can you tell us anything further about the trials, where are the several trials being held and the timeline, so when they might come to greater fruition?
Dan Jaffee: 19:45 Well, unfortunately, we are out of time. So I would have gotten into that. No, I’m just kidding, Bob. No, I will not be telling you where the trials are being held. We go through this every single quarter. You guys push me to have a longer teleconferences but the question seem to be the same. And I have to keep giving you the same answer. In football, as my analogy, it doesn't seem to help to yell to the competition. What plays you're going to run. So, no -- I will not be telling you where our trials are. But -- so, thank you for your question.
Robert Smith: 20:18 Okay. Thank you.
Operator: 20:23 The next question comes from the line of John Bair of Ascend Wealth. John, you may ask your question.
John Bair: 20:30 Thank you. Interesting banter there. I guess, if Bob is disappointed. There is an option as to what he can do with his holdings. But in any case, congratulations on actually having a profitable quarter, not as well as you would like or any of us would like, but given the backdrop of commodities, I was frankly concerned that perhaps that wouldn't be the case. So Kudos in that regards. 21:00 My question is, first question is read recently that the swine and port prices in consumption in China has decreased due to the Asian flu impact and a shift by consumers to consume more poultry. And so my question is, have you seen an increase in demand for your poultry related product versus swine products in China? Or has the swine product sales remained consistent or actually increasing? In other words, have they been cannibalized by an increase in interest in poultry consumption?
Dan Jaffee: 21:43 Sure. Hey, John. Great question. And Fred, you take it, but start with the swine because you and I have been in a lot of conversations about that, what's going on with swine in Asia, in general and China in particular? And then talked about the other areas that we may be able to see some benefit of our products going into?
Fred Kao: 22:02 Okay. Sure, Dan. John, its very, very good question, right? So as I'm in China right now. I think I can answer that pretty well. Maybe I’ll start with the swine. The ASF, African Swine Fever has really taking its toll on the Chinese swine market. The reason I'm saying that is not because of there's is not enough pork meat in the market actually the reversed. There's too much pork meat floating around because they were able to get populations back from where it was back in twenty eighteen before ASF. Now, they actually had the same population with the peak population by three years ago. And now the reason the prices is so bad is exactly what you mentioned John is, when poultry meat or other meat came in as a substitute for the last three years, people got used to a better taste of healthier products and because of that swine market is not going to rebound back to where it was kind of like one of the things I've heard in the past is, when you get used to the taste, you're not going to get back to the same, the oily pork meat and that's exactly what we see in China. 23:06 And then I’ll give a little more example on that is the price. Cost of production per kilo of pork meat is roughly three dollar to four dollars, let's say, close to four dollars. They're selling a four point thirty right now per kilo at farm gate. So all the meat producers are losing a lot of money because of that. So to answer your second part of your question, poultry market is definitely being very stable. They -- I mean the price has remained on a profitable level. Now -- until maybe about two weeks ago, it kind of dropped below it, but the recent last three or four days, it came back up again to where the breakeven price needs to be. And that shows how important the poultry sector is going to be in case of swine market not doing so well. And also give us a great confidence that, that strategy we put over quarters ago, that we're going to focus on poultry market front. 24:01 And then, the last thing I want add to it is the dairy market in China maybe the only animal product that’s produced in China that's had a very, very stable price ever since the pandemic. So people eating less meat because of lesser meals eating outside, but dairy consumption and [indiscernible] consumption have remained pretty steady throughout the last few, I said that – I say at least last eighteen months. Hope, I answered your question, John.
John Bair: 24:30 Yeah. So I guess -- so you are seeing an increase in demand for your poultry related animal health products. Is that what I'm hearing?
Fred Kao: 24:41 That's correct. Yes. We do see increased because of poultry market is being pretty stabilized and they know -- stabilizing mean that prices remain stabilized last year the population of poultry has increased tremendously in the last three years, so that's a really good sign.
John Bair: 24:57 Is that a trend that translates into other geographical areas as well?
Fred Kao: 25:04 We’re seeing some of that in Asia. Yes, definitely we’re seeing some of that trend in Asia, but it's quite difficult to project that. Just because if you look at Asia, the predominantly poor consumption countries are China, Vietnam, Philippines, Japan and Thailand, right? So in these countries, definitely, we've seen some of that, but the difficult thing to see is, they don't really have a same effect as ASF has pulled through China in the last three years. So, we are not quite seeing that this year, if that makes sense.
Operator: 25:40 The next question comes from the line of Ethan Star, a Private Investor. Ethan, you may ask your question.
Ethan Star: 25:46 Yes. I prefer to avoid if open into discussions on investor relations on these calls. My question is, could you please -- could you please give more detail on the increase in sales of both your branded and private label cat litter? And also I'm wondering to what extent was revenue growth in the last year due to price increases versus increase in tons sold?
Dan Jaffee: 26:04 Jessica, you take the first one, and then I'm not sure I have the data for the second one, but if Susan does that's great. Jessica?
Jessica Moskowitz: 26:14 I do it.
Dan Jaffee: 26:15 Okay, go ahead. So, Jessica, you go first.
Susan Kreh: 26:20 I think you're on mute.
Dan Jaffee: 26:23 I’m not on mute.
Susan Kreh: 26:22 Jessica, is on mute.
Dan Jaffee: 26:23 Jessica, you might be on mute.
Jessica Moskowitz: 26:26 Thank you. Thanks, Ethan for the question. The growth in cat litter has been driven duly by both organic growth driven by overall growth in people having cats and pets overall additionally, reflecting new customer acquisitions. So bringing on new private label lightweight customers and new customers and then also by overall building the branded business and the launch of new items of fifteen pound -- under our fifteen pound, which is our best performing line.
Ethan Star: 27:08 Great. Thank you.
Dan Jaffee: 27:11 And Susan, do you have -- Yeah. How much was pricing and how much was volume?
Susan Kreh: 27:20 Right. Hey, Jessica. I think you need to mute.
Jessica Moskowitz: 27:24 Yes. The volume accounted for half of the growth, and then the rest was pricing and improved mix. The volume was half over the revenue growth.
Operator: 27:39 That's all the time, we have for the Q&A session. I will now turn the conference over to Mr. Dan Jaffee. Thank you.
Dan Jaffee: 27:47 Well, thank you, everybody. Again, we're very happy with the demand again validating not only our successful strategies, but also our ability to get stuff out the door. I mean, I’m sure as you do retail check, you see a lot of empty shelves out there, very dynamic times. We are going to continue to get prices up, control our cost and get as much out the doors. We can in the next ninety days, and no one has a crystal ball, but no one, that I'm talking to, things this is going to hand any time in the next ninety days. Meaning this is going to be the new reality for at least a year, maybe even into two years. So, appreciate your support and patients and we'll be back with you in ninety days as for the next teleconference. Thank you.
Operator: 28:40 This concludes today's conference call. Thank you for participating. You may now disconnect.